Operator: Good morning, my name is Jenifer and I will be you conference operator today. At this time, I would like to welcome everyone to the Wright Express second quarter 2011 financial results. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. (Operator instructions) thank you, Mr. Elder you may begin your conference.
Steve Elder: Good morning. With me today is our CEO Mike Dubyak. The financial results press release we issued early this morning is posted in the Investor Relations section of our website at wrightexpress.com. A copy of the release has also been included in an 8-K we submitted to the SEC. As a reminder; we will be discussing non-GAAP metric, specifically adjusted net income during our call. For this year’s second quarter, adjusted net income excludes non-cash mark to market adjustments on our fuel price related derivative instruments and the amortization of acquired intangible assets as well as the related tax impact. Please see exhibit one included in the press release for an explanation and reconciliation of adjusted net income, GAAP net income. I would also like to remind you that we will discuss forward looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward looking statements as a result of various factors including those discussed in our press release, most recent form 10-K and other SEC filings. While we may update forward looking statements in the future, we disclaim any obligations to do so. You should not rely on these forward looking statements after today. With that I will turn the call over to Mike Dubyak.
Mike Dubyak: Good morning everyone and thanks for joining us. The second quarter was yet another quarter that exceeded our expectations with revenue growing 55% year-over-year to $141 million and adjusted net income growing 33% to $35.5 million of $0.91 per share. Our performance relative to our expectations was driven by continued stellar growth in our corporate charge card product and an increase in fleet transaction growth. Starting with some key metrics, consolidated payment processing transactions which include Wright Express Australia increased 15% over the prior year and in North America we saw an increase of 8%. This 8% increase is very positive when realizing the existing customer fleet filing transactions or same store sales was down slightly from the prior year. After two consecutive quarters of positive same store sales, Q2 same store sales was down roughly 0.5% which we believe is somewhat reflective of what we are seeing in the broader economic picture. Looking at same stores sales by SIC codes, our biggest industries construction in business services were better performing industries, while manufacturing underperformed. On a regional basis, the North East saw a solid activity for the quarter posting positive same store sales growth, while all other regions showed same store sales declines. The total number of vehicle serviced average $6.3 million increasing 29% from the second quarter of 2010. In addition to the acquisition of retail decisions and the earlier launch of BP in New Zealand, vehicle growth was driven by the successful launch of BP Australia during the second quarter of 2011. We also had consistent fleet wins from our sales team in North America including wins from fuel [ph] gas and NCR. We have a significant pipeline of regional oil companies that will continue to be an opportunity for us going forward. Our recently announced agreement with Wawa, a chain of 580 convenient stores is a god example of this. The addition of Wawa increases our capability to penetrate the small fleet market. After assessing customer demand for fleet card program Wawa selected Wright Express as a private label partner for our product offering and also highlighted our customer centric focus as an advantage. As partners and customers continue to recognize the value, convenience, security, and control that our partner issued in universal fleet card programs provide, not to mention our unrelenting focus on customer satisfaction; we believe we are well poised for continued growth. On the international front Wright Express Australia continues to meet expectations. In addition, as I just mentioned during the quarter, we brought on the BP portfolio in Australia and the implantation process has gone extremely well. As evidence of this, we are now performing some customization work to the processing system at their request which is driving incremental revenue. On the fleet side, we continue to look for opportunities in this market and we have been successful in growing our customer base. Additionally, we continue to believe there are opportunities outside of Australia in the Asia pack region, but these opportunities are still in the exploratory phase. During the other payment solution segment; we continue to see significant growth in this segment, largely driven by our corporate charge card product. This product continues to surpass our expectations with spend volume in the second quarter increasing 83% over the prior year to $1.9 billion. This growth has been largely due to our single use electronic payment product, specifically in the online travel vertical. While we expect this vertical we will continue to be the predominant growth factor here in the short-term, we are vigorously working on diversifying our customer base into addition verticals for our payment solutions as well as expanding into new payments markets. In the last year, we have doubled our marketing investment in the electronic corporate payments area and by the end of Q3 2011; we will have increased our sales team dedicated to this line of business to help further achieve our diversification growth strategy. High priority expansion targets include claims, payment processing for the insurance and warranty verticals and payment processing for the healthcare and education sectors. Given the aggressive role out of new portfolios by our partners in the online travel vertical, we are adjusting our growth expectation for this segment in 2011 to now be in the range of 60% to 70%. Longer term we expect growth to moderate. Moving on the prepaid business, our most recent acquisition, rapid! PayCard is performing in-line with our expectations. As, I had previously mentioned one of the attractive aspects of this business was the synergies we saw between our target markets and our customer base. Case and point, rapid had experienced compress sales cycles since joining our team with leads coming out of our existing clients. In addition, we have seen several cross sales successes over the last few months. While these are small and the traction we are seeing is very early stage. We are cautiously optimistic about the potential in the space and we will continue to push forward as we believe it is representative of our strategy to leverage our existing strengths in to new markets in verticals. Looking ahead, we will continue to execute against our growth strategy by expanding our core fleet business, diversifying our business and further building our international offering. In terms of expanding our core fleet business, while this business continues to perform well, we are focused on taking advantage of the opportunities we see in the market place to further penetrate fleet markets. For example, we have a new product launching this year called OTR-PRO. The OTR-PRO card addresses the needs of long call fleets providing a closed loop. These will card program with value added services including load matching, licensing, log auditing and dispatch software solutions to name a few. Only about 2% of our existing customer base is comprised of long haul fleets and this new product offering will help us increase market penetration with over the road fleets and offer a new option to our existing customers that have mixed fleets. We are working with Sky Capital, a recognized industry leader in the over the road truck market. Sky Capital and their family of companies provide operational service supports and online services for all segments of the long haul market in North America and have significant penetration in the over the road market. Internationally while we continue to have ongoing conversations with major oil companies, we believe the greater near term opportunity lies in building are on the ground presence overseas. As such, we will continue to pursue this initiative through strategic alliances and or acquisitions. Our continued execution against this multi-prong growth strategy has also resulted in the expansion of our business and today roughly 34% of our business is generated outside of the North American fleet card business. We are also exploring opportunities to expand our other payments solutions in select markets. Our focus remains on providing superior products and unmatched customer satisfaction. While a fair amount of uncertainty has crept back into the broader macroeconomic environment, we believe we are in an excellent position to continue drive performance across our business, as we to continue to drive performance across our businesses. As we continue to tap into additional opportunities out on the horizon, we believe they position Wright Express well to drive future growth. With that I turn the call over to Steve to discuss our financials in greater detail and to provide our outlook for 2011, Steve.
Steve Elder: Thank you Mike. For the second quarter of 2011, we reported total revenue of $141.3 million, an increase of $49.8 million from the prior year period. This was solidly above our guidance range of $132 million to $137 million primarily due to our other payments solutions right now. Fuel prices for the quarter were in line with our guidance and therefore not affective. Net income to common shareholders on a GAAP basis for the second quarter was $40.6 million or $1.04 cents per diluted share. Our non-GAAP adjusted net income increased to $35.5 million or $0.91 per diluted share which was above our guidance range of $0.83 to $0.89 per diluted share. This compares to $0.68 per share reported in Q2 last year. Before I highlight a few of our key statistics, I would like to briefly touch on the changes to the fleet statistical reporting table located in Exhibit 2 of the press release. As you will see in the exhibit note, there has been a slight change to the historical numbers related to transactions and vehicle counts in the press release, as we have refined our business intelligence reporting processes. As said, I want to stress that the revisions have no impact on our revenue and earnings as it is only a change to our statistical reporting. With that out of the way let's move on to some key stats which are consolidated to include Wright Express Australia. During the second quarter, total fleet transactions continued to grow nicely increasing 19% which was above our expectations. Our net payment processing rate for Q2 2011 was 1.64%, which was down 11 basis points versus Q2 2010 and down 4 basis points from the first quarter of 2011. The rate will vary with fuel prices due to the impacts of our hybrid pricing contracts. The reason for the decline in our rate for each of the comparable periods is due to higher fuel prices. Revenue in the other payments segment was up 112% year-over-year to $27.6 million. This increase in revenue was driven by our corporate card product which was up 86% from Q2 last year and the acquisitions of rapid! PayCard and Wright Express Australia. The net interchange rate on our corporate charge card for Q2 was 0.97% down 12 basis points year-over-year primarily due to the mix of contracts and higher foreign spend which has a lower interchange rate. We continue to remain focused on diversifying and growing our other payment solution segment which at this time is primarily being driven by our corporate charge product. This segment represented 19.6% of our total revenue in the quarter. Finance fee revenue in the fleet segment was up $2.6 million compared to Q2 last year; however, as a percentage of total dollars of fuel purchased it was significantly lower domestically even last year. The average balances that are past due an incurring late fees continue to be smaller when adjusted for changes in fuel prices and the number of customers that are paying late has continued to decrease compared to the same period last year. Moving down the income statement, total operating expenses on a GAAP basis for the second quarter were $80.1 million versus $52.1 million last year. Roughly half of the increase in operating expenses during the quarter were driven by the acquisition of our Australian businesses in Q3 last year, the remainder of the increase is due to higher salary costs, service fees and credit losses. We continue to focus on tightly controlling our underlying cost structure while making incremental investments in growth initiatives including research, marketing and international business development. Salary and other personnel costs for Q2 were $26.4 million compared with $20.4 million in Q2 last year. Majority of the increase is due to the addition of the employees in Australia. We also have additional head count in the US in the sales and marketing group and have increased our estimates for performance based bonuses and stock based compensations for the year. Service fees were up $8.7 million over last year to $18.2 million, the majority of this expense increase was driven by the significant increase in revenue of our corporate charge card. In addition, we also had increases to the acquired businesses and the cost related to our telematics product as it continues to gain penetration in the market. Domestic fleet credit loss was 12 basis points for the second quarter compared to 7 basis points in the prior period and was in the middle of our guidance range. In total, credit loss for the second quarter was $6.1 million compared with $2.9 million in Q2 last year. Total domestic charge offs in the quarter were $4.6 million and recoveries were $1 million; both of these were generally in line with our expectations. The aging of our receivables is trending towards historical levels from the very low delinquency rates we saw last year. Our effective tax rate for Q2 on a GAAP basis was 36.4% compared with 37.5% in the second quarter of last year. Our adjusted net income tax rate this quarter was 35.8% compared with 37.5% for Q2 a year ago. The decrease in the rate compared to the prior year is due to the mix of international earnings. We expect our ANI tax rate will be approximately 36% for the year. Briefly on our derivatives program, during the second quarter of 2011 we recognized a realized cash loss of $7.6 million before taxes on these instruments and an unrealized gain of $13.9 million. We concluded the quarter with a net derivative liability of $17.8 million. We have hedged approximately 80% of our domestic exposure through the second quarter of 2012 and portions of the third and fourth quarters of 2012. For the portion of 2012 that we have completed, the average price locked in at $3.36 cents per gallon and increases each quarter as we move through the year. For the third quarter of 2011, we have locked in at a price range of $2.93 cents to $2.99 cents per gallon. For the fourth quarter of 2011, we have locked in a price range of $2.97 cents to $3.03 cents per gallon. Like hedging in an environment of increasing fuel prices the company’s average hedged price of fuel continues to rise while protecting the Company against the volatility in both short-term fuel prices and cash flow. Even that our fuel price exposure in Australia is more limited and price fluctuations are not as volatile as in the US. We do not plan on hedging our exposure there. We will continue to target hedging 80% of our fuel price exposure in the US on a rolling basis which will effectively cover 65% to 70% of our overall exposure. In addition, we have not hedged our Australian currency exposure which was a small benefit during the quarter. Before moving on to guidance, I will touch on a few balance sheet metrics. We ended the quarter with a total balance of $386.5 million on our revolving line of credit and term loan. On our last quarterly call, we indicated our intent to refinance our credit facility which we subsequently completed and announced in May. The interest rate on this new facility is currently LIBOR plus 175 basis points and will fluctuate based on our leverage ratio. As of June 30, our leverage ratio was 1.7 times EBITDA compared to 0.5 times at the end of Q2 last year. The increase is due to the acquisition of Wright Express Australia. In connection with the new facility, we wrote off $727,000 in deferred financing fees related to the old facility which was not included in the guidance we provided last quarter. In addition, we saw an increase in financing interest expense due to an increase in the amortization of loan origination fees and a higher interest rate on our new facility. We believe our new credit facility increases our financial flexibility and will allow us to better execute on our strategic initiatives both domestically and internationally. While our near term priority continues to be paying down debt. We continue to explore acquisitions as a way to further achieve our growth objectives. With respect to capital expenditures during the second quarter CapEx was $6 million and we are targeting a range of $28 to $31 million in CapEx for the full year. Now on to our guidance for 2011, which reflects our views as of today and are made on a non-GAAP basis. For the third quarter of 2011, we expect to report revenues in the range of $145 million to $150 million and adjusted net income in the range of $35 million to $37 million or $0.89 to $0.95 per diluted share. For the full year, we are updating our guidance. We expect revenues for the full year 2011 in the range of $550 million to $560 million and adjusted net income in the range of $136 million to $141 million, or $3.50 to $3.62 per diluted share. Our guidance assumes domestic fleet credit loss for the third quarter will be between 18 and 23 basis points, and the full year is expected to be in the range of 15 to 19 basis points. The fuel price assumptions for the US are based on the applicable NYMEX futures price. For the third quarter, we expect fuel prices to be $3.72 per gallon. For the full year, we expect fuel prices to be $3.64 per gallon, which is down $0.03 from our prior guidance. We are also assuming that the Australian dollar will remain at a premium to the US dollar for the remainder of the year. With that we will now open the call to take your questions. Jennifer, please proceed with the Q&A session.
Operator: (Operator Instructions) your first question comes from Sanjay Sakhrani with KBW.
Sanjay Sakhrani – KBW: Good morning. I just had a question on the MasterCard business. I was wondering if you could just talk about where we are on the Expedia conversion through the end of the second quarter, and kind of what the assumption is in that 60% to 70% growth rate?
Mike Dubyak: Yes, they have aggressively rolled out even beyond our expectations. Some of their business has now been fully rolled out. There are still some to rollout, but it will be tailing off by the end of the year. So, we will still see the full year impact next year for all of their business annualizing, if you will, but I would say that it has been very aggressive and we will see a tail off.
Sanjay Sakhrani – KBW: Okay, great. And then, I think you guys at the beginning of the call talked about a little bit of a slowdown in terms of demand in same-store sales. I was just wondering, is there any color that you could provide on that, is it the higher gas prices that is driving that, or is it just a slowdown in activity?
Mike Dubyak: Yes. For us people are going to use their vehicles to fulfill their needs in terms of what their business is, and I don’t think it is higher gas prices, they will try to conserve to some extent, I think it’s more indicative of the economy. And as you know, they have downward adjusted the second quarter in terms of GDP and people are talking about slowdowns and things like manufacturing, which we are seeing. So, I think it’s more indicative of the different business sectors, like manufacturing, slowing down.
Sanjay Sakhrani – KBW: Okay, great, and then just one final question, if I may. I think Mike; you talked about kind of exporting the business model, the MasterCard business model, into other verticals. I mean, where are we in the process there? I mean, do you expect a meaningful gain in terms of business in other verticals at some point over the near term, I guess?
Mike Dubyak: Yes. We have been successful with some of the initial verticals that we have moved into, the warranty and the insurance business. I would say that it is still too early to say as we start looking at things like education and healthcare that is still early on. There is a lot of competition, but we are building our sales force to go after that market and then, we are looking at international. So, we have plans to also expand if you will some of our products, even OTA into the international markets, that won’t be until next year, but those are other opportunities for growth on that business model.
Sanjay Sakhrani – KBW: Okay, great. Thank you.
Mike Dubyak: You are welcome.
Operator: Your next question comes from Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang – JPMorgan: Hi, thanks. Can you hear me?
Mike Dubyak: Yes.
Tien-Tsin Huang – JPMorgan: I am sorry about that. It looks like your third quarter guidance is a little below the Street, I have some questions about that. Any change in, I guess, seasonal patterns or if some of these conservatives, and I heard that credit loss, guidance in the third quarter a little bit above the full year. Maybe if you can just give a little bit of context on that?
Steve Elder: Yes, Tien-Tsin, this is Steve. I would say, we are watching the credit losses very carefully given all the news about the broader macro economy. Just to give you a flavor, in July, we did see a very low charge offs and no large bankruptcies in July. That said; we did see a bit of softening in the delinquency levels, more in the medium stage, if you will, not the late stage delinquencies but they are early medium stage delinquencies. So, we haven’t changed any of our adjudication processes, we haven’t changed any of our collection processes and practices really for a couple of years. But you know, Bear is watching, I don’t think one data point is really enough to call it a trend and these can historically snapback very quickly. But again, it’s something we are watching closely.
Tien-Tsin Huang – JPMorgan: Okay. That’s good to know. And then, I guess, you did take up the full year touch though, fourth quarter is still strong, is it safe to say that conversions from past wins are still ramping up on time in terms of deployments there, or have you seen any slowdown there?
Steve Elder: No, I think that’s why we were mentioning in the call and we feel good about the fact that, even though same-store-sales are basically flat to say our payment processing sector grew 8% in North America, we believe that is indicative of all of the new wins, like the ConocoPhillips or mentioning NCR fuel gas or others. So, we’ve been talking about the frontend bringing in new business and I think it’s indicative with that 8% payment processing growth rate we saw. So, I think it’s that – that we probably have confidence going forward, as much as anything, because same-store sales have flattened out. And by the way, in July, they are pretty much holding with what we saw in the second quarter on the same-store sales.
Tien-Tsin Huang – JPMorgan: Alright. Good to know. Last one and then I’ll jump off. Any guidance on discount rate in the next couple of quarters given the few – you know mentioned some of those metrics, but if you can just help with that, that’s all I got.
Steve Elder: I think, if you assume a steady fuel price, then I would assume a pretty steady discount rate on the fuel side. I think you could see the net interchange right on the corporate charge card probably continue to decline a little bit based on the mix, but the fuel side should be relatively steady, if fuel prices remain steady.
Tien-Tsin Huang – JPMorgan: Okay, thanks for the details.
Operator: (Operator Instructions) your next question comes from Tom Mccrohan with Janney.
Tom Mccrohan – Janney: Hi guys, a great quarter and you raised the guidance for the full year; the stock has down passed the week or last, well since early July. Assuming that it is due to overall concerns about the cyclical sensitivity of your business to potential double-dip, so, I am wondering if you had anything to share with us on kind of demand elasticity relative to gas prices back in ‘09 when you kind of have the last slowdown, the price average price of gas was kind of the $2 range. So, I was wondering if you had anything you can share with us, if you had anything; if the gasoline kind of holds in line with kind of your projections the $3 to $4 range, what that will do for payment transactions?
Mike Dubyak: Yes. I think we have said before that the high gas prices as it becomes a drag on the economy people are paying for higher gas prices and not buying other goods is where we see then an impact to our business. At this juncture though, it’s different today than it was back in ’08, I think we had both high gas prices and an economy that was basically doing a deep-dive and we don’t see that yet. As we said, existing customers are flat, our top five SIC quotes, four were up, one was down, manufacturing, so you have to watch that closely. So, I think it has a drag, but I don’t think it is doing the same, or having the same impact that it had in ’08 when we also had an economy that was faltering pretty significantly.
Tom Mccrohan – Janney: And Mike, fair to say that, since that time it sounded like people were adding to fleets, people haven’t really recovered fully from the last downturns, so the extend it does go into a double-dip and the economy does weaken a little bit more, do you anticipate a magnitude of any impact to be less than what it was back in the ’08 -’09 time period?
Mike Dubyak:
Tom Mccrohan – Janney: And just to, my last question, the other non-fleet revenues, was that close to 20% of total revenues for the company? Can you remind us what percentage of revenues the non-fleet was back in, say, 2008?
Mike Dubyak: I know somewhere back in that timeframe it was probably $30 million to $50 million total.
Steve Elder: Probably in the range of 10% to 15% of the total.
Tom Mccrohan – Janney: Yes, so that’s where the big difference between this one and the last one the difference is differences is the diversity of revenue bills, you know improved from last downturn.
Mike Dubyak: Definitely, you have got other things like the rapid! Pay Card, although it is small, but it is a different stream and the telematics business is a bigger, with a lot of smaller diversification efforts that we have put in there as well.
Tom Mccrohan – Janney: Great, thank you.
Operator: Your next question comes from Robert Dodd with Morgan Keegan.
Robert Dodd – Morgan Keegan:
Mike Dubyak: No, it was pretty much consistent through the quarter.
Robert Dodd – Morgan Keegan: Alright, go it.
Mike Dubyak: A little bit, I mean June might have been a little bit down compared to the others, but I think the good news in July, we are starting to see some of the SICs in July show better results than June. So, you know, there is some, there could be some bumpiness in sometimes the numbers.
Robert Dodd – Morgan Keegan: Got it, yes.
Mike Dubyak: That’s why in thought July was important to take a good look at that and see how that was doing against the quarter and it is still flat but there is still SIC’s that are showing growth even in July.
Robert Dodd – Morgan Keegan:
Mike Dubyak: No that, I mean obviously there were some bankruptcies in the normal course of business, but there were no significant ones that we would call out.
Robert Dodd – Morgan Keegan:
Mike Dubyak: I think this is probably the peak.
Robert Dodd – Morgan Keegan: Yes.
Mike Dubyak: I mean it is still going to be very – very healthy levels going forward for last half of the year, but I think the second quarter was promising.
Robert Dodd – Morgan Keegan: Okay, great. And my last one, which is a bit more extensive, can you give us some more color on the relationship with Sky Capital and how are you addressing kind of the OTI of products long haul, historically not something you have targeted that aggressively, obviously there is a very intense competitor and some of your, some of the exceptions, locations you would need to get the long haul that have been missing, you’ve have got the gas stations, but obviously it is not some of the overnight spots and things like that. With Sky Capital, are they bringing that to you or is that something that still has to be added to the network and you know, with Sky Capital is that a JV marketing relationship, I mean can you give us anymore color on what you are doing in that segment?
Mike Dubyak: Sure, I guess, I will start with, as we said it hasn’t something that we have been able to penetrate because we didn’t have all the product sets, you need more than just card, you need some of the other things that I mentioned, fuel tax, log auditing, licensing permits and etc. We have looked at everything from building it ourselves and said that’s probably not something we are going to invest in and then try to do. We have looked at the potential of, are there acquisition opportunities and with Sky Capital , we came to the conclusion that they have these online services like fuel tax, log auditing licensing permits, freight matching, whatever that they have built over the years and we think they are great products. They have very large customer base using those products today, over a million customers using their product. What they don’t have is a fleet card and we felt the matching of the two or the combining of the two in a partnership would make us a force in some of the segments of the marketplace. And, there is, we are going grow the acceptance space, but we feel we already enough coverage on the major highways now that any fleet using our product can find a convenient location. We’ll probably have around 2000 locations by the end of the year, accepting the product and that will continue to expand into next year and in the future. So, we are making sure off, because of a lot their data of where do we need to have coverage on the major highways systems and that’s what we are targeting and that’s we are going to build our network based on demand.
Robert Dodd – Morgan Keegan: Alright, thank you.
Operator: Thank you. (Operator instructions) your next question comes from Julio Quinteros with Goldman Sachs
Romero El [ph] – Goldman Sachs: Good Morning this Romero El on for Julio. Two kind of a follow-ups on the macro concerns here. Let me start with the SIC codes, you know, you gave some color on July trends, but if we focus on those four SIC codes, they were relatively strong, anything you can add on the pattern or sequential increase or acceleration on that growth. You were not planning as went through the quarter into July, are kind of strong, segment is getting stronger or do you see a kind of slow down there?
Mike Dubyak: Yes, when you look at month-to-month it is tough, it is hard to make a decision or say that it really determines a trend. I would say that construction probably slowed a little bit it is, still positive manufacturing in July is actually better than it was during the second quarter. Wholesale trade flattened out a little bit, retail trades up, business services are up, but they are both in the range that is slightly less than a 0.5% all in for the second quarter and July, if we look at all the SIC codes, so there is movements in different ones. You take some solace out of it, if you all you do was look at July and say well manufacturing got better, but I don’t think we would say one month would make a trend. If that helps –
Romero El – Goldman Sachs: That’s very helpful. Okay and on the kind of S&B [ph] on the small fleet side. Do you see small businesses as all small fleets kind of more or less interested in your products here or just giving (inaudible) concerns, any difference at all?
Mike Dubyak: No, we are doing very well in bringing on small fleets both with our universal product, with what we do with solicitations, mail solicitation, search engine marketing. What have been able to do through a lot of our partnerships, they like the working capital aspect of having a card and paying it in, say 30 days and then having the controls, so a lot of it is just how do we get those fleets and how do we find a cash customer, or someone using a general purpose card to explain, you can still get credit terms and you have better controls over the product. So again, a lot of what we have been focusing on is trying to bring on different channel partners, Wawa was a good example I would say in the last nine months, we probably brought on six to eight of these partners that are focusing on small businesses.
Romero El:
– Goldman Sachs:
Mike Dubyak: I think, we will look Europe doing some of the same things, so we are still continuing to have dialogue with major oil companies and national oil companies, anyway even look as I said, looking at our other payment solutions business and believe we have a great opportunity. We have a presence in the market, we clearly have accounts that people would say they must be doing something right domestically and even with our large domestic partners on the online travel, well over $1 billion dollars is being spent internationally, so why should we leverage that with international companies? So, we are looking at that as well and Europe would be a prospect for us on that.
Romero El: Great Thank You.
– Goldman Sachs: Great Thank You.
Operator: Your next question comes from Sanjay Sakhrani with KBW.
Sanjay Sakhrani – KBW: Hi, just a quick follow-up, just in terms of that last point in terms of acquisitions, I mean where are we in terms of potential acquisitions, how close are we and then maybe what your thoughts are on maybe buying back some stock and giving stocks, you know, have been weaker recently, thanks?
Mike Dubyak: Yes, and that is a fair discussion on the stock. We are looking at acquisitions, both domestically and internationally and that is all I would like to comment on, you cannot beyond that, because as you know things can change at any moment, when you are looking at things, but we are inquisitive; we are looking at things strategically to say what can help us in markets to get a presence or what can help us diversify or grow even more in the domestic markets and clearly as Steve said we will pay down debt. We are looking at the acquisitions, but with what is going on with the stock, we do have authorization to buy back stock and we will consider that.
Sanjay Sakhrani – KBW: Okay. Great thank you.
Operator: Your next question comes from Robert Dodd with Morgan Keegan.
Robert Dodd – Morgan Keegan: Actually, mine was about stock, I have got that resolved. I am covered, thanks.
Operator: Your next question comes from Tim Willi with Wells Fargo.
Tim Willi – Wells Fargo: Thanks, good morning. I apologize if this was asked; I got distracted a little bit earlier on the call, but could you talk about, maybe sort of try to frame organic sales growth. I know you mentioned the new channel partners you have brought in and just sort of this is the way to think about organic sales growth, year-to-date for further quarter as compared to last year. And in terms of like new selling, whether it would be in terms of like vehicles on the backlog or anything along the those lines, just sort of frame the front and sales efforts.
Mike Dubyak: Right, I would say that across the board with small, medium, and large, we are feeling very comfortable with the pipeline and what we have done to grow the transactions as we have, because the fact is the existing customers are not expanding, they are flat. So a lot of what we are bringing on would-be new direct business as well as business through channel partners and still feel very bullish about what it is in the pipeline and others that would brining on as the year roles out both fleets and partners.
Steve Elder: Tim, just to give you a little bit more Tim, if you look just kind of in North America which we would consider kind of all organic, we are talking about 8% growth impairment processing transaction this year. It is probably more like 6%, 7% last year, so it is a little bit better than what it was last year.
Timothy Willi – Wells Fargo: Okay and that is transaction growth, right.
Steve Elder: Correct.
Timothy Willi – Wells Fargo:
, :
Mike Dubyak: No, I think there are still the same competitors, who are still strong competitors in the market place. We continue to try to differentiate ourselves with the products we have continued to deliver and invest in and the high level of customer satisfaction that I think resonates with both partners and fleets in the services we supply, but I do not think there has been much of a change in terms of competitors or pricing in the market place.
Timothy Willi – Wells Fargo: Okay, that is all I have, thanks a lot.
Operator: (Operator instruction). There are no further questions. This does conclude today’s call conference call, you may now disconnect.